Operator: Good morning. My name is Brooke and I’ll be your conference operator today. At this time I’d like to welcome everyone to the Rogers Corporation first quarter conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. (Operator instructions) I will now turn the conference over to Bob Wachob, President and CEO of Rogers Corporation. Thank you Mr. Wachob, you may begin your conference.
Bob Wachob: Good morning ladies and gentlemen. With me are Dennis Loughran, Chief Financial Officer; Deb Granger, Vice President of Corporate Compliance and Controls; Robert Soffer, Vice President and Secretary; Ron Pelletier, Corporate Controller; and Bill Tryon, Manager of Investor and Public Relations. First, Dennis will dispense with the formalities and then we will get right down to business.
Dennis Loughran: Thank you, Bob. I would like to point out to all our listeners that statements in this conference call that are not strictly historical, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and should be considered as subject to the many uncertainties that exist in the Rogers operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those of any forward-looking statements. I’ll now turn it back over to Bob.
Bob Wachob: Thanks, Dennis. Q1 certainly much better than our plan and significantly better than we expected at the start of the quarter. (inaudible) feels much better being where we’re today versus this time last year. During the quarter we benefited from a strong rebound in most of our markets. And from the China 3G rollout which compressed a couple quarters the business into one. Also, some of our new products introduced in last three years is starting to grow nicely. Like our high frequency laminate with low product profile sank very smooth copper. Especially in antenna applications for communication towers. As we look forward we expect most of our growth will come from three long lasting market mega trends. And they are the continued growth of the internet. Expansion of mass transit and the global drive to sustainable energy. Within each of these three mega trends there are several exciting applications spaces that we project with our growth rates bearing from 10 to 30% of compound and annually over the next five years. We already have solid positions in most of these application areas. They are the key focus for our additional products and market development work. In these three market areas we are currently involved in over 450 customer projects. That’s up from 200 when we reported in early February. And we have 29 programs that have already gone into production this year. In addition, we have more than 30 design wins which we expect will go into production sometime in the future. One notable design was achieved by our start-up business – Thermal Management Solutions. We received an order for an aluminum silicon carbide component for heat removal and hybrid electric and electric cars. Tier 1 automotive customer has provided a forecast that totals $25 million in sales between 2011 and 2015. Now who knows what the real sales would be? But the win validates the premise behind the start-up business. In total, across all markets our sales people are involved in more than 1,000 customer projects, up from 700 this time last year. Customer project activities always a positive sign for the feature and this is one of the highest levels of activity that we’ve seen in many years. In summary, we had a strong beginning to the year and are cautiously optimistic going forward. I will now turn it over to Dennis to go over the details.
Dennis Loughran: Thank you, Bob, and good morning, again to everyone. As evidenced in our press release and Bob’s comments our strong sales and operating performance have allowed us to report results that exceeded even our recent guidance update. We’re in a strong position moving forward in 2010. We have ample market opportunities upon which we’re diligently focusing our strategic efforts. Our balance sheet and improved earnings provide us with the resources to quickly take advantage of those efforts. As we do with the acquisition of SK Utis this quarter and will do with both organic and acquisitive opportunities moving forward. With first quarter 2010 sales of $83.9 million rising over $18 million above last year’s recession driven levels. All of our businesses performed at/or above our previous guidance levels. As you have read both High Performance Foams and Printed Circuit Materials outperformed all others as they combine operational readiness with strong customer demand. That sales performance combined with excellent operating efficiency helped generate a reported GAAP profit of $0.43 per diluted share for the first quarter 2010 compared to a GAAP loss of $0.56 per diluted share to the same period in 2009. As reported in the press release, include in the net earned premiums profit for the quarter our net charges of $0.01per diluted share primarily related to SK Utis acquisition costs offset by one-time tax benefits. First quarter 2010 gross margin was 36.1%, an all-time record for our company versus 21.3% for the first quarter of 2009. With the improvement attributable primarily to the positive impact of our significant operating leverage and higher production levels and a favorable sales mix as most of our increases came from two of our three core strategic businesses, High Performance Foams, and Printed Circuit Materials. Selling and administrative expenses for the first quarter 2010 and 2009 were $21 million and $16.7 million respectively. The 2010 figure includes $0.9 million of one-time acquisitions costs, associated with the SK Utis acquisition as well as $1.8 million of incremental equity compensation costs due to the timing of the issuance of our 2010 grant in the first quarter as opposed to the second quarter in 2009 and $2.2 million for incentive compensation which was not incurred in 2009. Excluding those charges, the result had declined of $0.6 million was attributable to ongoing costs constraints in the administrative areas. We expect to realize continued benefit from those measures and believe our S&A run rate will continue to be in the range of $19 million on a quarterly basis of 2010. Research and development expenses were $3.5 million or 4.2% of sales in the first quarter 2010 as compared to $5.5 million or 8.4% of sales in the first quarter 2009. The first quarter 2010 spend level was lower than our average spend expectation of 6% of sales or approximately $4.8 million, reflecting lower level of spending for legal matters related to intellectual property protection, as well as a periodic fluctuation in laboratory and project costs should even out through the rest of 2010. In 2010, we continue to expect spending equal to our long-term target R&D spending level of 6% of sales. Rogers 50% owned joint ventures had first quarter sales totaling $30.5 million, and almost tripling of the recession impacted 10.6 million reported in the first quarter of 2009. Overall equity income in our unconsolidated joint ventures in the first quarter 2010 was $2.2 million as compared to the loss of $0.4 million for the first quarter of 2009, primarily as a result of the year-over-year improvement in sales. Other income and expense, which includes income from royalties, commissions and other fees less other expenses, amounted to a net gain of $0.8 million in the first quarter of 2010, compared to a net loss of $0.1 million in last year’s first quarter. The net improvement is primarily related to improved commission from our PLS joint venture of $0.6 million and favorable net foreign exchange impact of $0.2 million. An additional note related to our joint ventures. At March 31st 2010, we recent agreement with our partner to dissolve our PLS joint venture and have all the related distribution activity flow through Rogers beginning in the second quarter. This will have no impact to our overall bottom-line as income will shift from commissions we formerly received and report in other income. However, will cause a gross of effect on both sales and expenses and profits to be shown in our operating results. In the second quarter we expect this change to incrementally impact our sales by approximately $5 million. Taxes for the first quarter were impacted by one-time events described in the press release resulting in an effective tax rate of 22.3%. We believe our tax rate will be in the range of 27% for 2010, higher than our previous estimates due to improved earnings projected in regions with higher tax rates. Rogers ended the first quarter with cash and short-term investment position of $42.9 million as compared to $58.1 million at the end of the fourth quarter of 2009. Although a significant decline in first lines this decrease relates primarily to the expenditure of $26 million paid to acquire SK which we’re able to fund entirely through internally generated cash. Also impacting our cash in the quarter were a net increase of working capital of $8.8 million to support higher operating levels and capital spending of $1.3 million, offset by cash from operations was approximately $12.6 million and dividend of $8.1 million from joint ventures. During the first quarter approximately $0.6 million of our auction rates were redeemed at par, leaving a par value of $42.8 million outstanding at the end of the quarter. Capital expenditures were approximately $1.3 million in the quarter. For 2010, we expect capital expenditures to be approximately $20 million with the principal change from our previous estimate of $17 million in the recent positive acceleration of opportunities in High Speed Digital and Power Distribution markets. Our balance sheet responded to increased operating levels during the quarter with a net increase in working capital of approximately $8.8 million related primarily to higher accounts receivable and inventory of $7.8 million and $2.5 million respectively. Offset by increases in accounts payable and other current liabilities totaling approximately $4.7 million Despite the increase in working capital which was expected due to the higher production levels and sales levels in the quarter, our efficiency metrics for receivables, collections, and inventory levels, remained in excellent condition. And accounts receivable, day sales outstanding, improved to 56.7 days from 61.8 days at the end of the previous quarter. Inventories increased by about 16.4% or $5.6 million during the quarter to a level of $39.4 million, however, $3.6 million of that increase represented the SK Utis and the PLS inventory values added to our balance sheet at the end of the quarter. We maintained our DOS [ph] at approximately 8.6 weeks of supply well within our targeted range. Overall, our current assets ended the quarter at 3.3 times current liabilities. We continued to have no outstanding long-term debt and have no current needs to borrow. This concludes my remarks. And I will now turn the call back over to Bob Wachob.
Bob Wachob: Thank you, Dennis. We will now entertain any questions.
Question-and-Answer:
Operator: (Operator instructions) Your first question comes from Fred Buonocore with CJS Securities.
Fred Buonocore – CJS Securities: Yes, good morning, gentlemen.
Bob Wachob: Good morning.
Fred Buonocore – CJS Securities: Very nice quarter.
Bob Wachob: Thank you.
Fred Buonocore – CJS Securities: I’m sorry, I jumped on a bit late; I’m sorry if I’m making you repeat yourself, but, obviously, stronger than expected quarter, looking for Q2, stronger than what I’ve been originally expecting. How do you look at the full year now in relation to your previously provided guidance, if you can kind of elaborate on that given the trends that you’re seeing?
Bob Wachob: Fred, I tell you. Stronger with this second quarter is actually going to be, because our visibility is not very good. Most all our lead times are less than two weeks. So, we have generally less than two weeks of backlog. But, in general, for the year, we have to say that it’s pretty clear, we’re going to do better than we thought in our plan, and therefore, better than the guidance. But hard numbers just eludes me, because I really just don’t have any idea. I have to wait and see.
Fred Buonocore – CJS Securities: No, that’s fair enough. That makes sense. One of the things that I’ve been seeing with other companies that have operations in China and fairly labor-intensive businesses in China are constraints on labor. And I know we’ve discussed this in the past, but I mean is labor or higher labor costs impacting you at all, or do you expect maybe as your demand continues to improve to run into a little bit of a headwind there?
Bob Wachob: Our operations in China are not necessarily particularly labor-intensive.
Fred Buonocore – CJS Securities: Right.
Bob Wachob: But we also follow a policy of treating our employees in China, pretty much the way we treat the people in the U.S. and Europe, which is not the normal practice. And because of that we have significantly less turnover and we provide a lot of training for our people, which causes them to stick around. The negative of all of this is for salary people we’re the place everyone goes to look for the best people. But, in general, we’re not having a labor problem. We’re able to attract people. And I just look we have 29 people in China, who have passed their five-year anniversary. That maybe a record for someone who has only 700 people, in total. So, in general, we don’t have the issue of increasing labor costs, absolutely. Increasing salary costs, that’s certainly going on and that’s the history of China. When you start to allow it keeps going up.
Fred Buonocore – CJS Securities: Very good. I’ll jump back in queue. Thanks.
Operator: Your next question comes from Avinash Kant with D.A. Davidson & Co.
Avinash Kant – D.A. Davidson & Co.: Good morning, Bob and Dennis.
Bob Wachob: Good morning.
Dennis Loughran: Good morning.
Avinash Kant – D.A. Davidson & Co.: A few quick questions. First, clearly, you saw a very strong Q1 better-than-expected in the guidance for Q2 is better-than-expected. Could you maybe highlight where did you get the upside from?
Bob Wachob: One of the biggest places was the 3G rollout in China. All of it got compressed into this quarter, where we talked about the fourth quarter, it didn’t happen like we thought, we thought it’d be spread out over several, but we got real busy and it was actually quite a little challenge for us to ramp up manufacturing fast enough to keep the lead times in a good place and actually we’re able to build a little inventory to satisfy those customer requirements. Well, in addition to high frequency, all the customs staff, the U.S. military applications and the automobile applications, which we have, a fair number, all came back in a really strong way. Automobile, in particular, much stronger than we thought. And then, of course, in the High Performance Foams area, just everything got better. It’s really amazing to me was that our sales grew the most in the U.S. versus which you might normally expect to be in Asia.
Avinash Kant – D.A. Davidson & Co.: Right, right. And looking into the guidance for the next quarter, excluding the impact from the JV, you’re kind of looking maybe, the midpoint kind of is flattish from where you had in margins, is it typical seasonally?
Bob Wachob: Yes, yes. If you exclude the acquisition in joint venture and we’re predicting 75 million to 79 million which is pretty similar to the way we viewed the first quarter and absolutely, historically, I believe seven years out of the last ten years the second quarter has been our weakest quarter. And we expect that to be the case again.
Avinash Kant – D.A. Davidson & Co.: Okay. And also tax rates, I think Dennis talked about a little bit. So we should expect tax rates close to 29% or so going forward in the rest of the three quarters for the year?
Dennis Loughran: That’s how we work out. Yes, Avinash.
Avinash Kant – D.A. Davidson & Co.: But how about '011? Should the '011 be modeled at 27% like '010 or 29% like the ongoing rate?
Dennis Loughran: I’d say the only predict that we can give you is what we’ve analyzed for this year. We have such divergent tax rates among our regions. It is very specific to the mix of our sales and volumes going forward. And I don’t have a look at '011. So I apologize for not being able to give you any guidance on that, but, obviously, it’s changed. As our performance has improved, we’re selling more in Asia, which is where currently our highest effective tax rate is, because of our excellent international tax planning as well as our U.S. situation, we got net operating loss. So, if we keep performing very strongly in Asia that rate that we’re looking at this year could be a predictor of the next year.
Avinash Kant – D.A. Davidson & Co.: And what was the depreciation and amortization for the quarter?
Dennis Loughran: $3.8 million
Avinash Kant – D.A. Davidson & Co.: $3.8 million. Okay. So one final question for Bob though. As a lot of these 3G sales, China seems to have come in this quarter, should that be a negative impact going forward for the year, or you would see other regions like India or other regions starting to pick up on 3G side?
Bob Wachob: Well, certainly, it’s a negative impact on Q2 and most likely Q3. Potentially, in Q4, we have the possibility of China Mobile extending out into the secondary and world cities and therefore some additional Chinese business. And at the moment, India is, I believe, in the week three of their auction, it seem to be as long as someone keeps raising the bid, they seemed to continue the auction and it give no date as to when they will stop. The good news is they’ve started the auction. It could have some impact in the fourth quarter I think it’s most likely. The impact would be next year. And it should be pretty significant. We’ve heard that there could be as many as 250,000 base stations installed by the three licensees, whoever they might be in the 22 circle.
Avinash Kant – D.A. Davidson & Co.: Perfect, thank you so much.
Operator: (Operator instructions). Your next question comes from Jiwon Lee with Sidoti & Co.
Jiwon Lee – Sidoti & Co.: Good morning, thanks.
Bob Wachob: Good morning.
Dennis Loughran: Good morning.
Jiwon Lee – Sidoti & Co.: Just going back to the second quarter guidance, I was hoping to get a little more color on the kind of assumptions that you gave for the product mix, as well as the gross margin given sort of your record high gross margin in the first quarter.
Dennis Loughran: Jiwon, when we look at that, the significant improvement over last year, was obviously production levels, as well as favorable product mix. When we looked at the second quarter versus the first quarter of this year, our guidance has probably a mid range of about 33% or so. And that change is really related to bringing in PLS and Utis, which do operate at lower than our average gross margin levels, in the 20% to 25% range. So, that weighted averaging of bringing them in gross and a sub, brings that gross margin down to about a 33% based on what we’re going to do for the second quarter. But basically, no real significant shift in what the business units are contributing.
Bob Wachob: Except a little bit from lower sales.
Dennis Loughran: Exactly.
Bob Wachob: We expect especially in the Printed Circuit Material segment.
Jiwon Lee – Sidoti & Co.: That’s very helpful, thanks. And then the SK Utis, given your guidance you’re blending in about $3 million in sales for the second quarter?
Dennis Loughran: Yes, yup.
Jiwon Lee – Sidoti & Co.: Okay and what were the '09 sales that were about $12 million, is that correct?
Dennis Loughran: Yes, that’s correct.
Jiwon Lee – Sidoti & Co.: So, as you obviously aggressively pursue the handset and other consumer market, how should we be thinking about that growth traction throughout the year, especially on the SK side?
Dennis Loughran: Utis at this instant in time is constrained by capacity, and we have authorized a 50% increase in that capacity, which I expect to be in place in September or October.
Jiwon Lee – Sidoti & Co.: That’s terrific. And your new products to energy and transit (inaudible) that’s very project-driven, isn’t it? So how should we be thinking about that traction throughout the year with the piece of things that you’ve seen so far?
Bob Wachob: I would say that it will pick up as the year goes along, since some of the numbers I gave were from the first of the year. As the year goes on, we will bring more of those things into production and that will have a bigger impact and at least at the moment within those three mega trends if I were to analyze the first quarter, we would show a 30% increase from last year, but I would expect that it should be better than that, as we gain some traction. Some of this, however, like we talked about the Thermal Management Solutions, that business, we have a contract; however, it’s less than a million dollars in 2011, but grossed over $7.5 million out in 2013. Some of this stuff is not near-term, and I’ve said this before. We win then we wait. And the key areas, how many wins do we get, how many spec end, which is actually in the long run more important than how many projects go to production, because it tells us about the future.
Jiwon Lee – Sidoti & Co.: That’s helpful, thanks. Any sort of update on the auto side than what you already discussed in your remarks that we could be expecting this year?
Bob Wachob: Well, one of the things that is going on right now is there’s been some questions about inventory out there, and we don’t think there is any building inventory. In fact, what we see is a very large increase in the number of orders, but they’re smaller. To me that indicates that our customers are really watching the inventories and are ordering more often to keep them under control. It also would indicate the visibility is not quite what everyone would like. I really like the old days when deliveries were 12 weeks because you could forecast the quarter, pretty easily, that no longer is the case.
Jiwon Lee – Sidoti & Co.: Okay. And then speaking of inventory, are you comfortable with the level of inventory that you have, given the anticipated sales levels at a little lower than you would like, just in time, or how should we be thinking about that?
Bob Wachob: We built $2 million worth of finished goods during the quarter, to help us maintain our level of service to our customers, and we expect based on the forecast that we’re in good shape for the second quarter, should be no increase in inventory, and I doubt it will have any significant decrease, but we’re pretty comfortable right now. Good news is during a quarter we got surprised, but the manufacturing guys came through and we kept our service levels at the right spot and we did put in some finished goods inventory to help maintain those delivery times.
Dennis Loughran: You’re from a medium-term perspective, we’re moving ahead on our capital project to complete our laminating facility in China. As we’d reported to everybody in the past, the billing that was done in the previous year we bought all the equipment. We’ve now got our first presence stalled and the team and the rest of the equipment will be implemented in the stall during the rest of this year for availability in the first quarter next year, as this growth consumes over the capacity in Arizona again for high frequency materials.
Jiwon Lee – Sidoti & Co.: Okay. So that’s part of the incremental $3 million CapEx for this year would be spent. What about the Power Distribution products? Where would that extension takes place?
Dennis Loughran: Well, our original 17 million estimate had the completion of the laminate facility in it and what I spoke to were two new opportunities for our High Speed Digital product lined in the high frequency laminate projections for that require us to give some equipment in place in the United States to reduce prototyping and be available for production next year, which was not in our original forecast for that. And our Power Distribution business is looking at expanding with the wind and solar opportunities as well as their base locomotive power distribution equipment in the US market. So they will be putting equipment in place to start taking advantage of a US market that we would be cut out of if we don’t have capacity for these folks in the United States.
Jiwon Lee – Sidoti & Co.: Perfect. I will hop back in the queue. Thank you.
Operator: (Operator instructions). Your next question comes from Dana Walker with Kalmar Investments.
Dana Walker – Kalmar Investments: Good morning.
Bob Wachob: Good morning, Dana.
Dana Walker – Kalmar Investments: Could you comment on the longer-term view for SK Utis. What types of opportunities you believe you have, now that you have production on the ground in Korea?
Bob Wachob: Right. SK Utis is focused on the telecom handsets, but we see tremendous opportunities in the automotive area, especially, with some of the hybrid and electric vehicles, and also in LCD, TVs along with a lot of other consumer electronic products. We think this business has quite a few opportunities here it grew 40% last year, that took amount of capacity and the previous owner was capital constraining as it was not strategic for them. As I mentioned we’re adding the capital, it’s rather minor, but less than a million dollars that adds a significant amount of capacity and I see this business growing quite nicely and becoming even more profitable than it is today.
Dana Walker – Kalmar Investments: Is there anything about their product line that is different than your present foam product line?
Bob Wachob: Yes. Actually the chemistry, although they are able to achieve similar results, the chemistry is totally different. It opens up what we believe are multiple product development opportunities for us, both with their technology, and in combination with the technology, we already had. We think this has surprisingly turned out technology wise, to be a really good thing.
Dana Walker – Kalmar Investments: Therefore, you would hope to do a reasonable amount of business outside of Korea with their chemistry?
Bob Wachob: Yes, that’s correct.
Dana Walker – Kalmar Investments: If you were to scope the size of your present foam business, which is running 120 plus million, how do you view the addressable markets with what you’ve just acquired outside of Korea?
Bob Wachob: I think we have significant growth opportunities here for the business in total, which we haven’t talked about today, in the mass transit area, both in trains and in planes, and we’ve had a major adoption for sound deadening material in a commercial aircraft that will be introduced if they stay on schedule in 2011, which should generate multi million dollars for the product sales. And we’re seeing lots of other opportunities in the rail area, as you have noticed with some of our press releases that we’re getting major orders that exceed a million dollars.
Dana Walker – Kalmar Investments: Is the aircraft order though is that part of your existing business or was that a Utis?
Bob Wachob: That’s part of our existing business. It’s a silicone product used for sound deadening in composite aircraft.
Dana Walker – Kalmar Investments: Okay.
Bob Wachob: Oh actually someone just reminded me that the product came from our acquisition last year of MTI.
Dana Walker – Kalmar Investments: The only composite aircraft and maybe I need to read more aerospace magazines that is about to be launched would be the Dreamliner?
Bob Wachob: I believe the Dreamliner in the A350.
Dana Walker – Kalmar Investments: Okay. I need to read more magazines.
Bob Wachob: I just read what the salesmen write. It’s more useful.
Dana Walker – Kalmar Investments: Your gross profit rose more than your revenue sequentially?
Bob Wachob: Yes, because we cut the cost so much last year.
Dana Walker – Kalmar Investments: Do you view anything anomalous going on in comparing Q1 to Q4 other than the fact that you built revenue, you lowered your structural cost, and you had a nice, I guess, those would be the two primary things?
Bob Wachob: Right. That’s really it, and we had a little extra cost associated with competition accrual for bonus and in the second quarter, we gave people raises, so we will experience that cost increase in Q2, but you can’t go for ever without giving someone a raise.
Dana Walker – Kalmar Investments: Would you elaborate on the design that you describe with alumina silica carbide which is auto-based. What exactly will that product do?
Bob Wachob: It’s a molded part it has spins on it and in some applications it will be exposed to the air. In other applications, the coolant will actually be flowed over it, so as you get to higher powers, it can’t use air to dissipate all the heat and we use the coolant and it has spins and it is in the neighborhood of 4 inches by 4 inches and is applied with this particular customer, they currently have three customers, two of which are German-based and one is French-based. So there is opportunity for many more customers, really just the beginning here.
Dana Walker – Kalmar Investments: When you say two German and one French, you’re talking about the actual car builder?
Bob Wachob: Yes. Because our customers, that’s their customers.
Dana Walker – Kalmar Investments: Alright. This part will be fitted where?
Bob Wachob: In two places. One is the inverter. That’s where they convert the DC power and the AC power and use insulating gate bipolar transistors, I seem to use that phrase a lot, that’s what generates the heat and that’s the heat you have to take out. And in the converter, where you go from the 12 volts or 18 volts, I forget which it is in the battery to 650 volts. And the reason for the inverter is these cars are run on over an eight current motors, not on DC current motors.
Dana Walker – Kalmar Investments: When one looks at the way you described the revenue flow from the way the design might play out, what does that suggest about near-term activity levels for hybrid and electrical vehicles?
Bob Wachob: Well, at the moment, in the hybrid and electrical vehicles, we have 46 customer opportunities that we’re working on which span not only the Thermal Management things, but also Power Distribution and our High Performance Foam businesses. And so far this year we’ve been specked into seven different applications, and, of course, we are in production in one, but that was a 2009 event and with that same customer, we’ve supplied prototypes for their next vehicle.
Dana Walker – Kalmar Investments: Would you view most of the opportunity from this category to be post-2011?
Bob Wachob: Oh yes. Oh yes. Absolutely.
Dana Walker – Kalmar Investments: With some activity in 2011?
Bob Wachob: Yes, in some in 2010. In the 100s of 1000s in 2010 I would expect exceeding a million dollars in 2011 and then you get in the four or five nose, 2012 is a long ways away and at this point, we’re just relying on people’s forecast for vehicle sales.
Dana Walker – Kalmar Investments: Let me ask one broad question and then I’ll step back. As you look at all the things that you’re doing and consider what might be incremental in the 2011 timeframe to which you’re likely to see in 2010, what things stand out most for you?
Bob Wachob: I’d say activities associated with trains. I believe that’s an area that will give us quite a bit of opportunity in 2011. We’ll begin to see some effects from 4G, as our operators begin to start deploy systems; those really big sales come in '12 and '13. We will see some added effect in 2011. As far it’s really just arising in the US and a few cities in Sweden and Big 2 [ph] in Norway are all the activities only. And I do believe that India in 2011 will be on the 3G side. Hope we have pretty big deal. And that along with the return of satellite TV to higher levels in China will stimulate 2011.
Dana Walker – Kalmar Investments: Thank you very much.
Operator: At this time there are no further questions. Dr. Wachob, do you have any closing remarks.
Bob Wachob: All right. Thank you. Just like to leave you with one last thought and that is that we have laid the foundation for faster growth and increased profitability as world economy revives. We will continue to invest in new product development and look for opportunities to diversify into new markets. Thank you. Good-bye, everyone.
Operator: Thank you. This concludes the conference. You may now disconnect.